Operator: Good morning all, and thank you for joining us on today's Bioceres Crop Solutions Fiscal First Quarter 2026 Financial and Operational Results. My name is Drew, and I'll be the operator on the call today. [Operator Instructions] With that, it's my pleasure to hand over to Paula Savanti, Head of Investor Relations, to begin. Please go ahead when you're ready.
Paula Savanti: Thank you. Good morning, and welcome, everybody, to Bioceres Crop Solutions Fiscal First Quarter 2026 Earnings Conference Call. Our prepared remarks today will be led by our Chief Executive Officer, Federico Trucco; myself as Head of Investor Relations. Both of us as well as will be available for the Q&A session afterwards. We're also joined in today's call by our General Counsel, Jose Roque. During this call, we will make forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. I refer you to the forward-looking statements section of the earnings release and presentation as well as the recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed circumstances. In today's presentation, we will be making references to certain non-GAAP financial measures. Reconciliations of the non-GAAP measures can be found in our earnings press release. This conference call is being webcast and the link is available at our Investor Relations website. It is now my pleasure to turn the call over to Federico.
Federico Trucco: Thanks, Paula, and good morning to everyone. Thank you for joining us today. Please turn to Slide #3 for an overview of the highlights of our first fiscal quarter. Despite the drop in revenues in the quarter compared to the year ago numbers, gross profit remained almost equal at $36 million with a gross margin expansion of 650 basis points. This shows how the seed business model transition as well as a lower emphasis on opportunistic third-party product sales are resulting in a similar aggregated gross profit at a much lower working capital expense. In fact, we have seen a sequential improvement in working capital despite the first quarter's seasonally high needs as we'll discuss in a minute. On the cost front, we continue to see the results of our cost reduction initiatives as well as business model transition with both variable and fixed SG&A declining significantly, resulting in meaningful improvements in operating profits and adjusted EBITDA. Please turn to the next slide. This quarter reflects clear progress on the priorities we set for the year, improve the quality of our revenues, protect margins and operate with discipline, while we continue to pursue our core purpose, which is to enable a better, still highly productive agriculture. This slide shows the 3 main KPIs that we'll track throughout the year. In our last call, we committed to operating above the 40% gross margin level, getting closer to 4 months of working capital in terms of annual sales and targeting profitability above 20% of adjusted EBITDA over sales, for which we needed not only to expand margins as we are doing, but also to reduce costs, targeting a $10 million to $12 million reduction in annual SG&A. As you can see in the numbers here, we have operated well above the gross margin limit we established for ourselves, doubled our percent adjusted EBITDA compared to that of fiscal year '25 and already got to the same level, 17% that we achieved in fiscal '24. We have done this while remaining close to our working capital target of 4 months in a seasonally demanding quarter. One important highlight is our SG&A improvement. Both variable and fixed SG&A have improved significantly, achieving 50% of our top of the range expected annualized savings in just 1 quarter. I will now pass on the call to Paula for a more in-depth analysis of these and other aspects of our financial performance. Paula?
Paula Savanti: Thank you, Federico. Let's look at the financial results for the quarter. Please turn to Slide 5, starting with revenues. Total revenues for the quarter were $77.5 million, a 17% decline versus the same period last year. The decline reflects to a large degree, the strategy communicated in previous quarters, transitioning our seed business toward a more scalable and capital-efficient model and deprioritizing lower-margin working capital-intensive sales. Results were also shaped by sales timing effects in some Latin American countries, particularly Uruguay and an uneven recovery in Argentina. Looking at performance by segment, most of the reduction came from Crop Protection and Seed and Integrated Products. Crop Protection revenues were $39.9 million, a 16% decline with respect to the same quarter last year. This decline is explained by still sluggish demand in Argentina, where while there are generally signs of normalization compared to an unusually weak prior year, tight credit conditions and uncertainty ahead of the midterm elections that were held in late October implied that normalization was slower to materialize despite favorable weather and planting conditions. Outside Argentina, lower sales of bioprotection products in the U.S. and adjuvants in Brazil also weighed in on segment results, reflecting timing of sales that is expected to even out over the coming quarters. In Seed and Integrated Products, revenues were $12.6 million, a 37% decline compared to last year. This performance is an expected outcome from the unwinding of the HB4 downstream program. We expect this revenue decline in seeds to continue for at least 2 more quarters as we compare against quarters where seeds inventory was being sold off. While this transition is temporarily lowers revenue recognition, it improves working capital and supports a more profitable business model going forward. Finally, in Crop Nutrition, revenues were $25.1 million, broadly in line with last year. Within this segment, higher biostimulant sales in Argentina and Brazil were offset by weaker fertilizer dynamics. In contrast to the past year, demand for micro-beaded fertilizers improved in Argentina, particularly in terms of volumes, supported by strong corn planting intentions. But there were delayed purchases in Paraguay and Uruguay that offset these gains and resulted in a modest 2% year-over-year decline for the segment. Let's move on to the next slide to look at profitability. Gross profit for the quarter was $36.2 million, a decrease of 3% year-over-year, much smaller than the decline in revenues, reflecting improved product mix and margin expansion. As Federico mentioned, gross margin expanded significantly this quarter at 47% versus 40% in the same quarter last year. Looking at this by segment. In Crop Protection, gross profit was $17.6 million, a 5% decrease with respect to last year, with gross margin improving from 39% to 44%. This reflects a more favorable product mix within the portfolio, where there were stronger contributions from adjuvant and bioprotection products as well as efficiency gains that reduced unit costs in products such as adjuvants. In Seed and Integrated Products, gross profit was $7.5 million, slightly higher than last year despite the lower revenue. Segment margin expanded substantially from 36% to 60% as very low-margin seed sales were nearly phased out and higher-margin seed treatment packs represented a greater share of total segment sales. Margins on these packs also expanded during the quarter, further lifting profitability. Finally, gross profit in Crop Nutrition was $11.1 million, a 6% decline with respect to last year, with gross margin decreasing from 46% to 44%. Margin compression resulted mainly from competitive pricing in fertilizers in Argentina, where sales volumes increased, but market prices declined. In addition, revenues under the Syngenta agreement included a higher proportion from the supply agreement relative to the profit sharing agreement. Increased products supplied to Syngenta typically precedes revenue recognition under the profit sharing agreement, creating some quarterly lumpiness that evens out on an annual basis. Please turn to the next slide to look at EBITDA. Adjusted EBITDA for the quarter was $13.6 million, a 61% increase compared to $8.5 million in the same period last year, reflecting a material improvement in operating performance. The increase was largely driven by the $5.9 million reduction in operating costs described earlier by Federico. Joint venture results also contributed positively, adding $0.9 million as the fertilizer business began to recover from prior quarter's weakness. Gross margin expansion further supported the results with the contribution from gross profit only $1.1 million lower despite a much larger decline in revenues. Finally, let's turn to the next slide to review our balance sheet, cash position and a brief update on the debt situation. For that, I will hand the call back to Federico.
Federico Trucco: Thanks, Paula. As of September 30, 2026 (sic) [ 2025 ], total financial debt stood at $242.5 million, down from $260.2 million at the end of the previous quarter, mainly due to the repayment of working capital loans in Argentina. As we have disclosed in our 6-K filings of October 2 and yesterday, we are undergoing a dispute with holders of our secured convertible and nonconvertible notes. As a result, we've decided to show the noncurrent portion of that debt as current as well as include the prepayment fees that would be owed under an acceleration event. Consequently, current debt totaled $188.7 million, of which $103.6 million are classified as accelerated debt, including $7.4 million of additional costs related to the acceleration process. The company disputes the allegation made by our noteholders and intends to vigorously defend its position. Importantly, all principal and interest payments remain current. Cash, cash equivalents and short-term investments totaled $16.6 million, resulting in net financial debt of $225.9 million, essentially flat versus the prior quarter. The net debt to adjusted EBITDA ratio improved to 6.8x. We continue to actively manage liquidity and debt maturities, maintaining constructive dialogue with lenders and prioritizing financial flexibility and disciplined capital allocation. To wrap up, we are operating in a complex environment, but we continue to execute with discipline and focus on the fundamentals we control, profitability, liquidity and capital efficiency. We believe these actions are building a stronger and more resilient company over time. With that, let's open for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Austin Moeller from Canaccord.
Austin Moeller: So just my first question here. There's been some discussion of higher beef imports to the U.S. from Argentina. And now that the election is over, is there any potential for either raw crops or inputs like fertilizers and pesticides to be imported from Argentina into the U.S., which would either create demand for your farmers or for you?
Federico Trucco: We've seen sort of the news as well and beef production, milk production in Argentina are booming currently. So profitability is probably at an all-time high. I think the news about U.S. imports or exports from Argentina to the U.S. are obviously further fortifying that process. In terms of ag inputs, I think also that Argentina being classified on the low tariff end, if you will, on the current trade situation is a benefit to us when we are trying to serve that market from Argentine-manufactured ag input products. Remember that we also hold manufacturing capacity in the U.S. So we are manufacturing most of our bioprotection solutions in-country in the U.S. So that has also been beneficial for us in addressing that particular market.
Austin Moeller: Okay. And the previous quarter, we had discussed that the company expected some Corteva sales of biopesticides into Europe would likely fall into Q1. How is that playing out with relative to what you expected?
Federico Trucco: So we currently don't have bioprotection products registered in Europe. What we do have is the biostimulant package where Corteva is our main customer in Europe. And we've basically historically had a very significant contribution from Europe in the last quarter of each fiscal year, which we didn't see last quarter and we have only achieved some marginal sales of biostimulants in Europe in the current quarter. I think most of the biostimulant improvement has been in Argentina and Latin America, as Paula alluded to in the call. And the Corteva Europe sales are due to come later in the year.
Operator: [Operator Instructions] It looks like we have no further questions registered at this time. So with that, I'll hand back over to Federico Trucco for some closing comments.
Federico Trucco: Thank you, and thank you, everyone, for joining us today. I think this was a quick earnings call. We remain available for follow-ups if required. And I hope you all have a great rest of the week. Thank you.
Operator: Thank you all for joining. That does conclude today's call, and you may now disconnect your line.